Operator: Good morning ladies and gentlemen. Thank you for standing by. Welcome to the Hudbay Minerals Inc. Second Quarter 2023 Results Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, August 9, 2023, at 8:30 a.m. Eastern Time. I will now turn the conference over to Candace Brule, Vice President Investor Relations. Please go ahead.
Candace Brule: Thank you, operator. Good morning and welcome to Hudbay 2023 second quarter results conference call. Hudbay's financial results were issued yesterday and are available on our website at www.hudbay.com. A corresponding PowerPoint presentation is available in the investor events section of our website and we encourage you to refer to it during this call. Our presenter today is Peter Kukielski, Hudbay's President and Chief Executive Officer. Accompanying Peter for the Q&A portion of the call will be Eugene Lei, our Chief Financial Officer; and Andre Lauzon, our Chief Operating Officer. Please note that comments made on today's call may contain forward-looking information and this information by its nature is subject to risks and uncertainties and as such, actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR and EDGAR. These documents are also available on our website. As a reminder, all amounts discussed on today's call are in U.S. dollars unless otherwise noted. And now, I'll pass the call over to Peter Kukielski.
Peter Kukielski: Thank you, Candace. And good morning, everyone. Thank you for joining us. In today's presentation I will discuss our second quarter results, touch on the operating and financial performance of the business and provide insight into recent strategic initiatives and corporate achievements. Second quarter was one of transition and expansion for Hudbay. We took many meaningful steps across the business to enhance our operating platform, deliver production and cash flow growth and create opportunities for potential mine life extension. The integration of our newly acquired Copper Mountain Mine in British Columbia has transformed our organization into a premier America's focused copper mining company with 3 long-life mines in Tier 1 jurisdictions, steady 150,000 tons per year copper production levels and a world class pipeline of organic copper growth projects. The combined company makes Hudbay the third largest copper producer in Canada. In Peru, operations performed in line with our expectations as we completed the plant highest stripping period at Pampacancha to allow us to access higher grades starting the third quarter of 2023. And we have achieved those higher grades in July, with 1.6 million tons of ore mined from Pampacancha and impressive grades of point 0.63% copper and 0.31 grams per ton of gold. In Manitoba, we completed the implementation of the first phase of the stall recovery improvement program to deliver higher copper and gold recoveries had stalled in the second half of this year. We discovered new mineralized zones near Lalor and expanded our long-term growth opportunities through the consolidation of highly prospective land in the Snow Lake region. We also entered into a framework for a potential exploration partnership in Flin Flon with Marubeni to explore priority targets on our mineral properties within close proximity to our idled Flin Flon processing infrastructure. We remain on track to meet our 2023 guidance levels as we completed many transitional activities in the second quarter that position us for strong production, improved costs and higher free cash flow generation in the second half of 2023. With our now larger and more resilient operating platform, we are well-positioned to deliver diversified cash flows to prudently advance our leading organic pipeline of brownfield expansion and greenfield exploration and development opportunities across our portfolio. Jumping into our second quarter results on Slide 4, consolidated copper production was 22,000 tons, a slight decrease compared to the first quarter as we completed the plant high stripping program at Pampacancha and the scheduled mill maintenance program at Constancia, which was partially offset by a 10-day stop period of production from the newly acquired Copper Mountain Mine. Consolidated gold production was 49,000 ounces, a 4% increase due to slightly higher gold grades and higher gold recoveries in Peru. Consolidated zinc production was 9,000 tons, an 11% decline due to lower throughput and zinc head grades at stall. Consolidated copper cash costs were $1.60 per pound compared to $0.85 in the prior quarter. This increase was mainly the result of higher mining, milling and treatment and refining costs and lower copper production. The cash costs for the first 6 months of the year came in above 2023 guidance ranges, but remained in line with quarterly cadence expectations. We reaffirm our consolidated cash cost guidance as we expect cash costs to significantly decline in the second half of 2023. Similarly, copper sustaining cash costs increased to $2.73 per pound, primarily due to the same reasons affecting cash costs. Second quarter operating cash flow before changes in noncash working capital was $56 million and adjusted EBITDA was $81 million, both impacted by higher operating costs in Peru associated with a scheduled mill maintenance program and higher plant stripping activities at Pampacancha which offset higher revenue from an increase in sales volumes. At the end of the second quarter, our liquidity included $180 million in cash and $184 million in undrawn availability under our revolving credit facilities. Following quarter end, we drew $90 million from our credit facilities to finance the redemption of a portion of Copper Mountain's Nordic bonds, which reduced the aggregate amount of the bonds outstanding to $60 million. This also improves our ability to deleverage and repay debt sooner than the 2026 bond maturity. Based on the expected free cash flow generation in the second half of this year, we continue to expect to make progress on our deleveraging targets as outlined in our three P plan for sanctioning Copper World. We are on track to deliver annual discretionary spending reduction targets for 2023 with lower growth capital and exploration expenditures compared to 2022. As a result of a continued focus on discretionary spending reductions, total capital expenses for 2023 are expected to be approximately $15 million lower than guidance levels, representing approximately 5% of our total CapEx guidance for 2023. There are no major capital expenditures expected in the second half of 2023, which together with the expected increase in production across the business will significantly improve our free cash flow generation in the second half. The completion of the Copper Mountain acquisition on June 20 and the first shipment of copper concentrate under our ownership on July the 23rd, our second quarter results were not materially affected by Copper Mountain's operations, with no revenues or corresponding cost of sales recorded during the 10-day period in the second quarter. Moving to Slide 5, as I mentioned earlier, our Peru operations performed in line with our expectations this quarter. Constancia produced 18,000 tons of copper, 13,000 ounces of gold, 420,000 ounces of silver, and 414 tons of molybdenum. With a period of higher plant stripping activities in the Pampacancha pit completed in June and the achievement of significantly higher grade ore mine from Pampacancha in July, the company is on track to achieve the higher expected production in the second half of the year in line with the full year production guidance ranges. Total ore mined increased by 41% compared to the first quarter as mining activities returned to normal after we reduced mining activities to conserve fuel in response to logistical constraints caused by civil unrest in the first quarter. Ore milled was 6% lower than the first quarter due to a scheduled plant maintenance shutdown. Copper grades were slightly lower than last quarter, with the continued processing of lower grade ore from stockpiles as we completed the higher plant stripping activities at Pampacancha in June. Recoveries of copper in the second quarter remained at low levels, as expected due to higher levels of impurities in the stockpiled ore. Recoveries for gold and silver were higher due to higher gold grades and lower zinc content and impurities in ore processed. Second quarter combined units operating costs were 23% higher than the first quarter primarily due to higher costs associated with a scheduled shutdown and lower milled ore throughput. Peru's cash costs were $2.14 per pound in the second quarter. However, cash costs are expected to decline meaningfully in the second half of 2023. And the full year cash cost is expected to remain within the 2023 guidance range. Sustaining cash costs were $3.06 per pound higher than in the first quarter due to the same factors affecting cash costs. Looking at Slide 6, our Manitoba operations produced 35,000 ounces of gold, roughly 9,000 tons of zinc, 3,000 tons of copper, and 181,000 ounces of silver. Production of copper and silver was higher than the first quarter due to higher grades and recoveries. Production of gold and zinc was lower due to lower recoveries and lower zinc grades partially offset by higher gold grades. We completed a number of key initiatives aimed to continue to support higher production levels at Lalor. Improved metal recoveries at the mills and prioritized the mining of higher gold grade zones at Lalor in the second half of 2023 as planned. As such full year production of all metals in Manitoba remains on track to achieve guidance ranges, however, with a slow ramp up of gold recovery associated with stall phase 1 recovery improvement project in the second quarter, gold production is trending towards the lower end of 2023 guidance range for Manitoba while zinc and copper production is trending towards the higher end of the production guidance ranges. On the stall recovery improvement program, the first phase of the project was completed during the second quarter. Commissioning of the circuits quickly achieved targeted copper and zinc concentrate grades, while gold recovery improvements progress slower than planned. Changes to optimize the circuit are underway and we expect to achieve higher gold recoveries in the second half of 2023. Significant progress has been made at the Lalor mine in optimizing the development drift size, improving soft availability and implementing changes to achieve better stope mark fragmentation, which eliminated inefficient tracking of water surface via the ramp relate in the second quarter. We also implemented tailings deposition improvements that are expected to maximize the Anderson facility tailings capacity and defer incremental dam construction activities to future years. We completed planned maintenance at Lalor during the second quarter. Despite this planned maintenance program, ore mined from Lalor increased by 11% from the prior quarter, averaging over 4,500 tons per day. Lalor continues to implement improvements to reduce costs and target higher production levels with a focus on equipment feed availability and building of long haul inventory. Grades in the second quarter were consistent with the mine plan with gold, copper, and silver grades increasing by 3%, 42%, and 28% respectively and zinc grades decreasing by 5%. Stall mill process similar levels of ore compared to the first quarter, used downtime to complete the phase 1 recovery improvement project and the commissioning of new Jamieson cells. As a result, there was a buildup of approximately 30,000 tons of stockpiled base metal ore above normal levels at the end of the second quarter that will be milled during the second half of 2023. The new Britannia mill continue to achieve consistent production averaging approximately 1,560 tons per day. There was a buildup of 15,000 tons of gold ore stockpiles which will be milled during the second half of 2023. We continue to advance improvement initiatives at new Britannia requiring minimal capital outlays with a focus on reducing reagents and grinding media consumption while further improving overall metal recoveries and copper concentrate grades. Combined unit operating costs in the second quarter slightly increased reflecting lower mill throughput and the surface ore stockpile build up. Manitoba's gold cash costs were $1,097 per ounce, higher than the first quarter driven by higher mining costs, treatment and refining charges and low gold production. Gold cash costs are expected to decline in the second half of 2023. And the full year cash cost is expected to remain within the '23 guidance range. Gold sustaining cash costs were $1,521 per ounce in the second quarter. Now turning to Slide 7. The Copper Mountain integration activities are progressing in line with our expectations and over 50% of the targeted annualized corporate and tax synergies have already been achieved to-date. Moving forward, we will continue to advance our plans to stabilize the operations, including opening up the mine by adding additional mining phases and remobilizing idle haul trucks, optimizing the ore feed to the plant and implementing plant improvement initiatives. We will provide further plans in a technical report including an updated mine plan, revised mineral reserve and resource estimates and updated annual production and cost estimates for Copper Mountain in the fourth quarter. Turning to Slide 8. In July we announced positive results from our 2023 winter drill program in Snow Lake Manitoba. The program included the testing of a geophysical anomaly located northwest of Lalor within 500 meters of our existing underground infrastructure. All holes intersected an alteration zone that is known to host the Lalor mineralization with certain holes intersecting several sulfide horizons with zinc and copper, gold, silver mineralization. One of the holes intersected a high grade zone with 3.5 meters of 3.81% copper, 3.75 grams per ton of gold and 104.5 grams per ton of silver. The drilling program also included testing of the [indiscernible] copper gold extensions of the Lalor deposit, the first drilling in the deeper zones at Lalor since the initial discovery. This initial campaign consisted of 8 widely spaced drill holes over 2 kilometers and all holes intersected the zone of strong alteration known to host the Lalor mineralization and have shown the potential of higher grade copper gold feeder zones. These initial results are a very encouraging indication that the rocks hosting the rich copper gold mineralization are consistent with Lalor. This quarter we entered into agreements to significantly consolidate our land holdings in Snow Lake through several transactions, increasing our holdings by more than 250% in the region. We intend to explore these claims with the aim of finding a new anchor deposit to maximize and extend the life of Hudbay's Snow Lake operations beyond 2038. We completed the acquisition of the Cook Lake properties from Glencore in late June and as shown on Slide 9, Cook Lake properties are located within 10 kilometers of the Lalor mine and have the potential to host a new discovery at depth. The properties include the Cook Lake North and South properties, which are within 30 kilometers of our stall in new Britannia mills. We receive data regarding approximately 60,000 meters of historical drilling that was completed over 10 years ago, at a fraction of Lalor's current known depth. The mineralization indicates that there is a potential for new deposits in the same favorable mineralized horizons as many known deposits in the area, including the Lalor 1901 and chisel deposits. The Cook Lake properties are untested by modern deep geophysics, which was the discovery method for the Lalor mine. In June we also announced an agreement to acquire Rockcliff Metals Corp. The enterprise value to Hudbay net of Rockcliff's cash is approximately $13 million. As shown on Slide 10, the acquisition would add more than 1,800 square kilometers to our land holdings across the Snow Lake area. It will consolidate our ownership of the Talbot deposit and add perspective land adjacent to our Pin 2 [ph] deposit in addition to other exploration properties in the vicinity of the stall in new Britannia mills. Completion of the Rockcliff transaction is contingent upon court approval and Rockcliff shareholder approval. The transaction is expected to close in the third quarter. Moving on to Slide 11. We continue to work towards derisking the Copper World project and we expect to receive our 2 outstanding state permits by early 2024. In May we received a favorable ruling from the U.S. Court of Appeals for the Ninth Circuit that reversed the U.S. Fish and Wildlife Services designation of the area near Copper World and the former Rosemont project as jaguar critical habitat. While this ruling doesn't impact the state permitting process for phase 1 of Copper World, it is expected to simplify the federal permitting process for phase 2 of the Copper World project. Furthermore, we're encouraged by the U.S. Department of Energy's recent addition of copper to the critical minerals list. Feasibility activities for phase 1 are well-advanced and a pre-feasibility study is expected to be released in the third quarter of 2023. We intend to initiate the process of establishing a minority joint venture partner prior to commencing a definitive feasibility study, which will allow the potential joint venture partner to participate in the funding of the definitive feasibility study activities in 2024 as well as in the final project design for Copper World. During the second quarter, we were proud to have launched our company's purpose statement, which is shown on Slide 12. Our company enjoys a rich history that grounds us and the purpose that leads to a bright future. Our purpose, we care about our people, our communities and our planet, embodies how we plan to provide the metals the world needs, work sustainably, transform lives and create better futures for communities. We are committed to finding and producing copper and other critical metals needed to support a more sustainable future while operating responsibly, minimizing the environmental footprint, ensuring our activities benefit the communities near our operations and delivering dependable value for our stakeholders. I'll conclude the conference call presentation on Slide 13 and 14, which detail our enhanced copper production platform of 3 operating mines in Tier 1 jurisdictions providing near term production growth and free cash flow generation along with leading organic growth. After completing a transitional second quarter with a Copper Mountain Mine acquisition, a successful Pampacancha stepping period and completion of the stall recovery improvement project, we are well-positioned to deliver strong production growth and significant free cash flow generation in the second half of 2023. Of note, Copper Mountain integration and mine stabilization are progressing as planned. And Constancia has already delivered higher copper and gold grades in July in line with our production and cash flow cadence as projected for 2023. This medium-term production growth and diversified free cash flow generation will enable us to pursue a longer-term investment opportunities in our leading organic growth pipeline at Copper World for Constancia satellite properties as well as potential mine life extensions in Snow lake and Copper Mountain, which provide unparalleled copper and gold optionality for investors. We continue to believe that copper has the best long-term supply-demand fundamentals with the growing demands from global decarbonization initiatives. Hudbay is uniquely positioned to benefit from the strong outlook for copper with an attractive copper production growth profile. Hudbay offers investors the highest near-term free cash flow yields, coupled with significant long-term upside through our leading copper mineral resource base. And with that, we're pleased to take your questions.
Operator: [Operator Instructions] Our first question comes from Orest Wowkodaw of Scotiabank.
Orest Wowkodaw: Wanted to talk about the balance sheet and some of the strategic directions of the company. I was surprised to see that net debt increased as much as it did quarter-over-quarter. I think about $265 million, largely from the Copper Mountain transaction. But I'm curious, given the optionality that you have at Copper Mountain with, I guess, for stabilizing that asset and then potentially growing it, can you just remind us, have the criteria changed at all for the development of Copper World? And I believe one of the previous criteria was a minimum cash balance of $600 million. I'm just wondering if any of these metrics have changed given Copper Mountain is now within the portfolio?
Chi-Yen Lei: This is Eugene Lei here. No, the criteria has not changed. In fact, as Peter mentioned in his remarks, the addition of Copper Mountain enhances our ability to unlock the pipeline, including Copper World. So yes, the net debt did increase during the quarter. We assumed $145 million of the Nordic bonds with Copper Mountain. That's a short-term increase. And obviously, there were some transaction costs related to it. So we are on track to meet our deleveraging target progress toward that 3P plan. So this would be the high point in our net debt and our net debt-to-EBITDA ratio and we expect to actually make meaningful progress towards that 1.2x leverage ratio even this year. So -- and beyond that, this year, obviously, Copper Mountain will provide a stable platform of copper production and free cash flow through to the end of the decade and that would enhance our ability to deliver Copper World when that time comes.
Orest Wowkodaw: Okay, Eugene, but just as a follow-up, does this push out the potential development time line for Copper World, just given it's going to take you longer to reach those debt metrics?
Chi-Yen Lei: No, it does not push out time lines for Copper World. It actually enhances our ability to do so. So we expect to get to the 1.2x net debt-to-EBITDA and the $600 million minimum cash amount in the time lines that we outlined and we think this is a stronger platform during the build period for Copper World.
Orest Wowkodaw: Okay. And then just shifting gears quickly, Peter, can you remind us when we could start to see some exploration results coming out of the satellite deposits near Constancia?
Peter Kukielski: Yes, certainly, Orest. I think that -- I mean, I think the first comment that I would make is the process in the â€“ the turning process in Peru is fairly complex. And it's difficult to put a time line on to it. So we have completed all the technical activities that are required to submit the application for the exploration permit. And we're effectively now in the hands of the government. But it could take up to a year to get those -- to get the permit. It could also take much less.
Orest Wowkodaw: Sorry, Peter, do you say it could take up to a year to get the permits?
Peter Kukielski: It would take up to a year to get permits. That's correct.
Operator: Our next question comes from Ralph Profiti of Eight Capital.
Ralph Profiti: I want to come back to this Marubeni agreement. And just wondering what allows Hudbay to execute its strategy with Marubeni that you could not have done yourselves, right? And just sort of can you kind of show us and give us a path to kind of like the strategic rationale there on why a joint venture is the best way forward for this particular -- for this particular strategy if an agreement were to come through?
Peter Kukielski: Thanks for the question. Look, I think a couple of things. One is that I actually -- my personal experience with joint ventures has been very good and I like working with partners who are motivated to get results. In this specific case, Marubeni is pretty excited about the Flin Flon area and Marubeni is prepared to fund the activities associated with the initial exploration program. So rather than us dishing out cash during a period when you really are trying to increase our cash balance and move towards the targets that Eugene just outlined, somebody else gets to spend the money at this point. And we have very, very close alignment with these guys and they would, of course, be potential partners for us in other initiatives.
Ralph Profiti: Okay. Yes, fair. The original agreement did outline a $10 million to $15 million investment or up to that for exploration. I'm just wondering, is that an annual figure? And could we infer anything that when you proportionalize that against sort of the Manitoba $15 million of exploration that Hudbay's spending on a stand-alone basis, that's something like a 50-50 is sort of in the range of what you could possibly see out of this JV?
Peter Kukielski: Yes, I think it's early days. So the commitment that they're indicating is a onetime commitment. And I guess depending on the results, we'll take it from there.
Operator: Our next question comes from Lawson Winder of Bank of America.
Lawson Winder: I just wanted to touch base on Copper Mountain. So you did not mention the guidance from the prior owners, but did mention that you'd update that in Q4. I'm just wondering if you can give us an early look on what you're thinking around that guidance and whether or not the production is achievable for 2023, particularly with respect to comments you've made prior that the owners previously were high-grading that mine?
Peter Kukielski: Look, we expect Cooper Mountain to perform better in the second half of the year versus the first half with stronger expected throughput levels. But the mine may not have met the previous guidance issued by Copper Mountain mining company. I would say that we're still finalizing our detailed plans, which will be in our updated technical report in the fourth quarter of the year and we expect to provide 2023 guidance for the Copper Mountain mine with our third quarter results.
Lawson Winder: That's fine. And then -- but I wanted to ask about balance sheet strength and whether or not just to -- I mean, you ventured into some copper hedges. You've deferred some additional CapEx this quarter in addition to some from prior quarters. I'm just curious, are there any other things you're sort of considering to help sort of conserve cash and accelerate that balance sheet strengthening process?
Chi-Yen Lei: It's Eugene here again. The expected free cash flow in the second half of this year is very strong. So if you look at our production profile, we're expecting copper production to be in the second half to be pretty much double what our copper production was in the first half. And given the margins in Peru in particular, the high grade, the free cash flow generation is going to be significantly back-end weighted. So we -- as I mentioned to Orest though, we expect the second half of this year to be very strong in production and free cash flow. We did do some hedges in the first quarter for the second half of this year. With that in mind that it was back-end weighted and want to make sure that we protected some of that cash flow and those hedges still exist at the collar between $395 million and $428 million and as well as some forwards that we got -- that we put in for the Copper Mountain Mine with our JV partner, again, to ensure that we realize strong cash flow. So we expect to be in a very -- in a stronger cash position by the end of the year. We expect to have meaningfully made progress on the net debt-to-EBITDA ratio with the inclusion of Copper Mountain in the second half of the year. And so we're pretty pleased with the sort of this -- the starting point. And as Peter mentioned, this is really the very significant inflection point in our production and free cash flow generation.
Lawson Winder: Okay. Great. And just maybe one final question for me on copper, rather on Copper World with the study anticipated quite soon. So I mean, my sense from your comments is that the PFS will feature either an elimination of the sulfide leach or a consideration for delaying the sulfide leach. And my guess is that saves you roughly $400 million to $500 million. So the question is, I mean, is that accurate? I mean could you -- is that kind of the scope of CapEx reduction we'd be talking about if you could eliminate the sulfide leach? And then what is your thinking on that versus -- on elimination versus deferral?
Peter Kukielski: Lawson, I would say you're -- in general, you're right. That's certainly what we are contemplating. The question that we really -- so the technical work has been completed for the PFS. Really, what we're considering at this point is what sulfide leaching looks like in terms of time line. I would say that the copper's inclusion by the Department of Energy in the critical minerals list also may influence the timing associated with when we would build a sulfide or a concentrate leaching facility. But we haven't taken the decision that it's not fully baked yet, but you can expect it to be fully baked by the time we release the PFS. Andre, would you add anything to that? No, I think.
Operator: Our next question comes from Greg Barnes of TD Securities.
Greg Barnes: Just sticking with the Copper World on -- noted the state permits have slipped into early 2024 now when do you expect to get them from, I think, mid-2023? Just some background behind what's going on there?
Peter Kukielski: Hi, Greg, thanks for that. If I -- you could also -- it's -- I view it in marginally positive light in a sense. So as you know, the state permits are technically driven permits. And we've been working very closely with Arizona Department of Environmental Quality to ensure that they have all the data that they need. So based on several productive interactions with the ADEQ, the review process is progressing well. Both parties are focused on ensuring that the permits are robust and defendable. But in that respect, Arizona -- the ADEQ asked for additional geotechnical data, which actually required us to do some additional drilling. So the process is expected to stretch out a little bit longer, but it doesn't impact our time lines as we won't be able to be in a position to sanction the project until 2025 at the earliest, in any case, based on our 3P plan for sanctioning Copper World. But I would say it is -- it's not a negative reflection on -- by any stretch of the imagination. I would say it is more positive because of the continued close collaboration with ADEQ.
Greg Barnes: And Eugene, on these Nordic bonds, the Copper Mountain bonds, is the plan to pay off the balance to basically $60 million in the second half of the year with the free cash flow that you will generate? And then the amount that you put on to your own credit facility, would you pay that back too in the second half of the year?
Chi-Yen Lei: Thanks for that question. Yes, we took on the bonds as part of the transaction. They had a change of control put that was exercisable within 20 days of the transaction. That's why these were classified as a current liability. Since that date, we've taken $86 million of that, redeemed that and put that on our revolver, which really increases our financial flexibility to pay those off before the 2026 maturity. So this gets to our deleveraging targets. And so with the free cash flow generation that we expect in the second half of this year, I think we would be in a position to certainly do that well before 2026. With respect to the remaining bonds that are not on the revolver, the $59 million, we'll take our time, the call price is 104 starting in October. So we'll be patient with that and redeem those at the appropriate time, but no decision has been made on those ones yet. I think we'll deal with the $90 million that we take on in the short term to be -- to sort of deleverage and reduce that cash balance or reduce that debt balance certainly sooner than the maturity date.
Operator: Our next question comes from Bryce Adams of CIBC.
Bryce Adams: I wanted to go back to Copper Mountain. Eugene, you mentioned the small forward sales there. Sorry if I missed it, but why were those added? And given that it's only 2,000 tons, does the volume go higher in the near term?
Chi-Yen Lei: Yes, it represents approximately 10% of the production in the second half of the year as originally projected. It's -- you may recall that Copper Mountain previously had collars. I think it was 360 floors in the collar. And so given the production in the second half of this year with our partner, the joint decision to ensure that there was strong free cash flow generation while we stabilize the mine. So 386 is the average price, and it's done -- the 2,000 tons are in equal amounts from August till December on a monthly basis.
Bryce Adams: Okay. So you don't expect to add any more there?
Chi-Yen Lei: Opportunistically, we could look at that. But the plan at the moment is that there's just a bit of insurance again to ensure that we have stable cash flows while we destabilize the mine.
Bryce Adams: Okay. And then maybe for Andre, for the expansion potential at Copper Mountain, prior management had looked at 65,000 tons per day. They looked at other trade-offs up to 100,000 tons a day. How are you guys thinking about the expansion scenarios there?
Andre Lauzon: Good question. So in the short term, like Eugene had mentioned, our plan is to stabilize the operation and get it to the established infrastructure at site, which is around the 45,000 tons per day. And we'll look at -- there's lots of optionality to increase production. The current permit is up to 50,000 tons per day and so we'll look for opportunities with improvements to increase to that. Any further expansions which are possible, they would have to compete for capital in our pipeline across the overall business. And so we're not ruling it out at the moment, but we see stabilizing, getting it to the 45,000, potentially getting it to the target of the current permit limit as the sort of the near midterm focus for us at the time.
Bryce Adams: Okay. So it sounds like expansions above the current permit level for Copper Mountain would be on the other side of Copper World?
Andre Lauzon: Lots of things can happen, right? So with the project, it gives us all kinds of optionality within our portfolio. As things change, it could be accelerated or it could be after. But right now the main focus is just to make it a strong cash flow generator that could help enhance the 3P plan that Eugene and Peter mentioned in their remarks.
Operator: Our next question comes from Alex Terentiew of Stifel.
Alex Terentiew: I just wanted -- first question, just to circle back on earlier question about drilling -- exploration drilling in Peru. I just wanted to clarify, have the permits for drilling at Maria Reyna and [indiscernible], have they been submitted now? I just want to get some clarity on the up to a year time line. So I just -- so that's the first question.
Peter Kukielski: Hi, Alex. So the short answer is the permit applications have not been submitted yet. They are ready to be submitted. The technical work underpinning those permit applications has been submitted. But the -- we're working with the community to optimize the time line associated with submission of them because we want to make sure that we have full community support as we move into that process. And I'm not suggesting we don't have community support, but we recently had a community election and there's a new leader in the community, we want to make sure that everybody is on sides. So I would say that submission is imminent, but it has not formally been made yet.
Alex Terentiew: Okay. Great. And my second question, on operating costs, both Peru and Manitoba, cost per ton were higher than I expected and you guys have noted some reasons there. So -- but I'm just wondering, can you walk us through how you see cost per ton evolving over the rest of 2023? Obviously, I expect them to come down a little bit as you guys have made some comments here, but just a little bit more color on that would be appreciated.
Andre Lauzon: Sure, it's Andre. The big driver, particularly is around Peru. And as you recall from early on in the year when we are on a, call it a, restricted operation and conserving fuel, we have a -- we deferred a little bit of the Pampacancha strip. And to get to the high grade where we are now, over the last quarter, we've had to strip very heavily at Pampacancha and less at Constancia. And so Constancia stripping is generally capitalized. It's much longer term where Pampacancha is not, as it is short term in nature. And so what you're seeing is less capitalized stripping against our unit cost per ton as we went into this heavy phase. And now that will start winding down a bit as well on a cost per pound basis. The metal units are going to increase drastically as Eugene said, as we go into the second half of the year. We've already seen it. In Manitoba, it's not quite the same story, is we're ramping up. And so we've seen an increase in production quarter-over-quarter from Lalor mine and we expect that to grow. The mine's been debottlenecking a number of processes. We've been successful at the operation around the elimination of hoisting, I mean, trucking rock and ore to surface. And so that was around 600 tons a day before. Now with the increased tonnage that we've been producing, all of that's going up the shaft. And so we're seeing benefits on that that will improve over time.
Operator: [Operator Instructions] Our next question comes from Jackie Przybylowski of BMO Capital Markets.
Jackie Przybylowski: I just have a few quick ones, if you don't mind. First one, if you can maybe give us some color on where you see stripping at Pampacancha going from here? I think this last stripping that we saw through Q1 and Q2 kind of maybe at least took me off guard, caught me off guard. Are we expecting any more periods of major stripping in the next -- well, I guess, over the life of Pampacancha?
Peter Kukielski: There will be continued stripping, but what you saw in the last quarter was us catching up, right? So when we were in fuel conservation mode, we were not stripping at all and we were just heavily focused on using all of our fuel to feed the -- grab from the stockpile and feed the mills. And so this was a bit of an unusual peak. And so it should stabilize in the coming quarters.
Jackie Przybylowski: Okay. That's great. And staying in Peru, maybe just another quick question. Just looking through some old notes of mine that said that the collective bargaining agreement with the union in Constancia expires later this year. I think I've got November written down. Is that still the case? And have you guys started negotiations with the union yet?
Peter Kukielski: Yes. So the teams are actively working with our employees and negotiating with also the community agreements as well and they're all on track. There's nothing unusual to note at the moment.
Jackie Przybylowski: Okay. And maybe just one last one on Manitoba. I know Peter mentioned at the beginning of the call, the Marubeni agreement in Flin Flon and the Rockcliff transaction at Snow Lake. Can you guys talk a little bit about where you see throughput through, I guess, specifically the Snow Lake Mills in the future? I know your plans now are to use the shaft at Lalor and not the ramps. But do you see a opportunity for those mills to get pushed a little harder with external feed, whether it's still properties that I mentioned or other properties that you guys have in your portfolio? Or should we expect that the shaft capacity at Lalor is basically the throughput constraint for the medium term?
Peter Kukielski: That's a good question, Jackie. So like the history of Hudbay and Manitoba has been mining a lot of these satellite deposits, which we just recently acquired through Rockcliff. I think we've had 4 very large -- call them anchor, we call them anchor deposits, main mine 777 trade in Lalor. And those are the really big ones. But of the 28 or 29 mines that we've mined in our history, the remaining were all less than 3 million tons. And so with the acquisition of Rockcliff and the Cook Lake properties, it brings 5 or so of these smaller deposits that have the potential to be supplemental feed to stall mill. There's about 1,000 tons a day capacity at stall today. The Marubeni, before I jump to the Marubeni, that whole Cook Lake area is really, really attractive. It's an exciting -- there's many more deposits all around the area from Penn to the Balmer Zone [ph] to the Cook -- there's a Cook Lake deposit at Rainbow One. There's mineralization everywhere in this and a range of copper, zinc and gold mineralization. So it's perfect for our mills. And so there's so much to explore in the Snow Lake area. It just makes sense like with the Marubeni deal in the Flin Flon area, those properties are more focused to the potential reactivation of the Flin Flon mill which is on care and maintenance. And so there's 6,000 tons a day capacity there. And so the goal is to try to put together enough in that vicinity for that mill that's not utilized today. So it remains an opportunity.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Candace Brule for any closing remarks.
Candace Brule: Thank you, operator, and thank you, everyone, for joining today. If you have any further questions, please feel free to reach out to our Investor Relations team. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.